Operator: Good morning everyone and welcome to the SQM’s Third Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note that today’s event is being recorded. At this time, I would like to turn the conference call over to Mr. Gerardo Illanes. Sir, please go ahead.
Gerardo Illanes: Thank you. Good morning, everyone, and welcome to SQM’s third quarter 2015 earnings conference call. For your information, this conference call will be recorded and is being webcast live. You may access the webcast later on at our website www.sqm.com. Joining me today our speakers are Patricio Solminihac, Chief Executive Officer; and Ricardo Ramos, CFO. Before we begin, let me remind you that statements in this conference concerning the Company’s business outlook, future economic performance, anticipated profitability, revenues, expenses or other financial items, anticipated cost synergies and product or service line growth, together with other statements that are not historical facts, are forward-looking statements as that term is defined under federal securities law. Any forward-looking statements are estimates reflecting the best judgment of SQM based on currently available information and involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. Risks, uncertainties and factors that could affect the accuracy of such forward-looking statements are identified in the public filings made with the Securities and Exchange Commission, and forward-looking statements should be considered in light of those factors. I now leave you with our Chief Executive Officer, Patricio Solminihac, for brief comments before we move to Q&A.
Patricio Solminihac: Good morning and thank you for joining the SQM third quarter earnings conference call. On Tuesday, we posted our results for the nine months ended September 30, 2015. Earnings for the third quarter reached $13.7 million. This was strongly affected by the stopping of our mining operation in Pedro de Valdivia, which we announced in September. This event had a one-time before-tax effect of $56.3 million. We reported revenues for the first nine months of the year of $1.3 billion, a decrease of just under 14% compared to last year. The quarterly EBITDA margin was 39.3%, relatively flat compared to the third quarter of last year. For the nine months ended September 30, 2015, the EBITDA margin surpassed 42% significantly higher than the 37% seen during the same period last year. These higher margins reflect lower costs resulting for improving in our operation activities across all business lines. However, while we always look to decrease cost, the bulk of our major cost reduction efforts has been implemented. Commodity prices continue to fall, directly impacting some of our major business lines, particularly in the iodine and fertilizer markets. We expect to continue to free up this price pressure on future margins. I will briefly outline what we are seeing in our five business lines. First, potassium nitrate: Revenues during the first nine months of 2015 were down compared to the same period last year, as a result of lower price and lower sales. These lower volumes were a result of weak sales seen during the first quarter of the year, which impacted our year-to-date numbers. We now expect sales volumes in the business line to be flat during the full year of 2015, compared to last year. Although, we have been a strong global growth in the water soluble market, while average prices in the business line for the first nine months of the year were similar compared to last year, we did see price decrease slightly during the third quarter and we could see a further impact on potassium nitrate prices in coming quarters, if potassium chloride prices continue to fall. Second, potassium chloride: Revenues in this business line decreased approximately 23% compared to the same period in 2014, resulting from lower volumes, mainly during the first quarter and lower prices. Comparing the third quarter of 2015 to the third quarter of 2014, average prices in the business line have fallen just over 13%. As an example, today in Brazil, we see prices of general potassium chloride below $300 per ton compared with prices of over $350 per ton seen during June last year. We are a low cost producer of potassium chloride and therefore are and will continue to be a very competitive player in this market. However, if price continued to fall, this could ultimately impact our future margins. We believe that overall market demand for potassium chloride in 2015 will be lower than demand seen in 2014. For 2016, we expect to see our sales volume for the business line to increase about 15% compared to the 1.3 million tons that we expect for this year. Third, iodine: Continuing with the strategy that we have been implementing for the past 18 months, we saw volume increase during the first nine months of 2015, reaching 7,000 metric tons of iodine and iodine deliveries. We still hope to see sales volume reach 9,300 metric tons for the year. As a result of this strategy, price continued to fall during the period, averaging $28 per kilo during the third quarter. Revenue reported for the nine months ended September 30, 2015, decreased as a result of this lower iodine prices. Market demand continued to grow between 3% to 4% in 2015. We will continue with our volume strategy in 2016 and as a result, we should see our volume increase again next year. Fourth, lithium: Revenues for the first nine months of 2015 increased 4% compared to the same period last year, a direct result of higher price. While volumes were slightly down, prices increased approximately 9% compared to the nine months of previous year. This market continued to show robust demand growth. Finally, industrial chemicals: Revenues was down compared to the nine months of the last year, as a result of lower sales volumes and prices. However, sales volumes during the third quarter were strong related to solar salt. We sold over 35,000 tons of solar salt during the first nine months, the majority being recognized during the third quarter. We expect future sales in the fourth quarter and expect solar salt sales volume for the year to exceed 75,000 tons, more than twice as much as last year. I will now open up the line for questions. Operator, we may now go to Q&A session.
Operator: Ladies and gentlemen, at this time we'll begin the question and answer session. [Operator Instructions] Our first question today comes from Ben Isaacson from Scotiabank. Please go ahead with your question.
Carl Chen: Thank you. This is Carl Chen stepping in for Ben. Thank you for taking the question. You mentioned that you're looking for a 15% volume increase for potash next year. And, given the growing competitive pressure that we have seen over the past year, do you expect this to come from on the back of overall demand growth in 2016 or is that becoming more aggressive in capturing market shares next year?
Patricio Solminihac: Well, the situation why we lower our sales this year was because we couldn't ship in the first quarter and then we were not able to recover. So, we increased some of our inventory. And as always, we have seen our strategy in potassium chloride, we expect to sell everything that we're able to produce. So next year, we'll catch up with the inventory and also with our production levels, selling in all the markets that we are accustomed to sell.
Carl Chen: Okay, great. And how do you see you know the lithium supply and demand kind of evolve next year. Would the delayed capacity addition you mentioned eventually catch up with the demand growth?
Patricio Solminihac: Well we have seen a strong demand as we expected in the level of 7% to 8%. And we have seen also some of the newcomers that have been some of them postponed and some of them even stopped the increase. So, there have been less supply than what the market expected. We think that next year, some of these newcomers will start to bring a little bit more product into the market but still we see that will be a tight market next year.
Operator: [Operator Instructions] Our next question comes from Juan Tavarez from Citigroup. Please go ahead with your question.
Juan Tavarez: Hi, thank you. Good morning, everyone. So my first question is on the iodine segment. If you can give us some visibility on when would you decide to restart the iodine production? Is there a specific level of inventories that you would like to see before you restart that production, and if there is any incremental cost that could spill over into the fourth quarter from those adjustments in production? And my second question is if you can just give us an update on the whole status of the CORFO review of your lease, if there is an updated time line or any indication that we can see a conclusion to this over the next few quarters? Thanks.
Patricio Solminihac: Regarding iodine, as we commented and indicate all the information to the market, we did an important restructuring of our operation, which includes the stopping of our mining activity in Pedro de Valdivia. And the main reason for that is that we do have very important capacity in Nueva Victoria which is much efficient and much lower cost. Our total capacity continues to be in place. We do have as we also indicated, important inventories in iodine. We continue to increase our production, our sales. And we don’t see right now the need of putting additional capacity in place. We do have enough capacity for the growth and enough inventory to really support it for quite a while. Regarding the second question, the CORFO arbitration continued its process as is defined, meaning we enter into the proving stage of the case. They are in process now where witnesses are in front of the arbitrator and then we also submit all our documents as well as CORFO did. And then during this period besides witness process and documents supporting the case of each party, there will be also some experts that will do a couple of reports that the arbitrator is asking. All this process should last until beginning of next year and then the arbitrator will have to decide middle of next year probably to have a definition or ask for more time.
Operator: Our next question comes from João Almeida from Bank of America. Please go ahead with your question.
Unidentified Analyst: My question would be on the outlook of iodine and potash prices in 2016. I mean we have been seeing weak pricing in both divisions with a challenging environment for potash in many important markets such as Brazil and iodine prices being impacted by the strategy of recovery market share. You mentioned that the strategy on iodine should continue in 2016. So, should I infer that prices are still not near bottom? I mean any color on both iodine and potash would be great. Thank you very much.
Patricio Solminihac: Well, iodine and potash are completely different industries and they move of course with different dynamics. First going to potash, potash, we are small player. We have decided to sell into the market whatever we are able to produce. And that is what we have done in the past and will continue to do in the future. Total demand that we -- according to our reading of the market, this year is lower than last year. We expect in 2016 to recover some of those volumes. There is pressure in the price that we are seeing especially in Brazil. We will have to see how the negotiation end up with the Chinese which is very important indication for the market in 2016. But again, we are convinced that we are a very competitive player. We are a low, very low cost producer. So, we will continue to have reasonable margins. Of course, if the price goes down that will affect our margin. But we will continue to be very competitive. We do not have today a reading on how exactly the price of the potash could move next year, could stay more or less in the same level of the last quarter or could have small downward pressure. Regarding iodine, clearly as we have stated, we will continue with our strategy of recovering market share. We are with very good news in our total costs, given the restructuring that we need. So, we feel very comfortable as being the lowest cost in the market, and we will continue to do so. How much the price could still go down in iodine, it’s very difficult to say. But, we will continue with the strategy. We think that there should be some downward pressure next year, but we don’t think there will be as high as has been in the past.
Operator: [Operator Instructions] Our next question comes from Javier Martínez from Morgan Stanley. Please go ahead with your.
Javier Martínez: Thank you, Patricio. And so, in the last question, I missed the conversation; the sound was not good. So, I want to ask you again about iodine two things. So after Pedro de Valdivia, the capacity is still 13,000 tons, just to check this one. And second, following the devaluation of the peso, I guess that the cash cost of production in Chile, not talking about you but in general market, the competitors probably move down. So, I was wondering if it is already approaching $30 per kilo where it’s still closer to $35. If you can help with those will be very useful.
Patricio Solminihac: Thank you for the question. Regarding iodine, I was saying first that we continue with our strategy of recovering our market share. We do have a strong position. Our total capacity is in the range of 12,000 tons -- immediately capacity is in the range of 10,000 to 11,000 tons of iodine per year. And we can increase it very quickly in Nueva Victoria, expanding in a simple way. But we still have an important amount of inventory. So, we according to our strategy, will first move our own production, then start to decrease some of our inventories. And then with time, we can increase very quickly additional capacity if necessary. As we commented, the price in the third quarter is in the range of $28 per kilo. And we do not have an exact amount of how much this price could be next year, but it could have some down pressure because of our strategy.
Javier Martínez: That makes sense to assume that the cash cost, just because of the devaluation of the peso move down like $5 per kilo; that’s reasonable assumption?
Patricio Solminihac: No, I don’t think that it could be that much just because of the devaluation of the peso.
Javier Martínez: Okay, clear. Thank you.
Operator: Ladies and gentlemen, at this time, I’m showing no additional questions. I’d like to turn the conference call back over to management for any closing remarks.
Gerardo Illanes: Well, thank you all very much for joining us today. And we hope to have you with us in the next conference call. Good bye everyone.
Operator: Ladies and gentlemen, that does conclude today’s conference. We do thank you for attending. You may now disconnect your telephone lines.